Operator: Good afternoon. My name is Delina and I will be your conference operator today. At this time, I would like to welcome everyone to the Sanmina Corporation's Fourth Quarter Fiscal Year End 2013 Earnings Conference Call. [Operator Instructions] Ms. Paige Bombino, you may begin your conference.
Paige Bombino: Thank you, Delina. Good afternoon, ladies and gentlemen and welcome to Sanmina's Fourth Quarter and Fiscal Year 2013 Earnings Call. A copy of today's release is available on our website in the Investor Relations section. You can follow along with our prepared remarks in the slides posted on our website. Please turn to Slide 2, the Safe Harbor statement. During this conference call, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We caution you that such statements are just projections. The company's actual results of operations may differ significantly as a result of various factors, including the state of the global economy, economic conditions in the electronics industry, changes in customer requirements and sales volume, competition and technological change. We refer you to our quarterly and annual reports filed with the Securities and Exchange Commission. These documents contain risk factors that could cause actual results to differ materially from our projections or forward-looking statements. You'll note in our press release and slides issued today that we have provided you with the statements of operations for the 3 months and 12 months ended September 28, 2013, on a GAAP basis, as well as certain non-GAAP financial information. A reconciliation between the GAAP and non-GAAP financial information is also provided in the press release and slides posted on our website. In general, our non-GAAP information excludes restructuring costs, acquisition and integration costs, noncash stock-based compensation expense, amortization expenses and other infrequent or unusual items to the extent material. Any comments we make on this call, as they relate to the income statement measures, will be directed at our non-GAAP financial results. Accordingly, unless otherwise stated in this conference call, when we refer to the gross profit, gross margin, operating income, operating margin, taxes, net income and earnings per share, we are referring to our non-GAAP information. I would now like to turn the call over to Jure Sola, Chairman and Chief Executive Officer.
Jure Sola: Thanks, Paige. Good afternoon, ladies and gentlemen and welcome. Thank you all for being here today. With me on this conference call is Bob Eulau, our CFO.
Robert K. Eulau: Good afternoon, everyone.
Jure Sola: Our agenda, Bob and I will review our financial results for the fourth quarter and the fiscal year 2013. I will follow up with comments relative to the Sanmina-SCI's results and future goals. Then Bob and I will open for question and answers. And now, I like to turn this call over to Bob. Bob?
Robert K. Eulau: Okay. Thanks, Jure. Please turn to Slide 3. Overall, the fourth quarter was solid, from a margin and a cash generation perspective. Revenue of $1.505 billion was up 1.1% on a sequential basis and down 4.6% from the fourth quarter last year. Our gross margin came in at 7.8%, which was unchanged from the third quarter. Operating margin increased 40 basis points from last quarter to 3.7%. Non-GAAP earnings per share was $0.46, which was above the high end of our guidance for the quarter. This was based on 87.2 million shares outstanding on a fully-diluted basis. Finally, cash generation was outstanding, again, this quarter, with cash flow from operations at $90 million and free cash flow at $72 million. I'll discuss cash in more detail in a few minutes. Please turn to Slide 4. Revenue was up 1.1% or $16 million from Q3 to $1.505 billion. From a GAAP perspective, we reported net income of approximately $39 million, which results in earnings per share of $0.44. This was up relative to last quarter by $0.22. The GAAP results included an incremental release of our valuation allowance against deferred tax assets. The tax benefit recorded in this quarter totaled $21.5 million or $0.25 per share, versus the benefit of $159 million or $1.90 per share, which was recognized last year. We continue to have a valuation allowance of $471 million associated with just U.S. deferred tax assets and, accordingly, this amount is not reflected in our balance sheet. For the year, revenue finished at $5.917 billion, which was down by $176 million, while GAAP net income decreased by $101 million to $79 million, primarily due to the smaller tax benefit being recognized this year. Accordingly, earnings per share for the year were $0.93 versus $2.16 last year. If we exclude the tax benefits in both years, our GAAP earnings per share for FY '13 was $0.68 versus $0.26 in fiscal year 2012. At this time, last year, we announced restructuring actions that are now complete. The good news is that we have achieved the benefit we expected. The restructuring cost for Q4 were $4.6 million. Going forward, the restructuring costs we expect are associated with the real estate that we have on the market to be sold. We expect these costs to be in the range of $2 million to $3 million next quarter. At the end of the year, we have about $86 million on the market at list price, after having sold around $88 million of property in the last 4 years. My remaining comments will focus on the non-GAAP financials for the fourth quarter. At $117 million, gross profit was up $1 million from the prior quarter. Gross margin came in at 7.8%, which was the same as we reported in Q3. Operating expenses were down $4.2 million for the quarter at $61.7 million. This represents a 30 basis point improvement in operating expenses as a percent of revenue. This was achieved while we continue to invest in R&D. R&D spending was up $600,000 or 9.4% when compared to last quarter. Overall, operating expenses were lower than last quarter, primarily due to lower expense for incentive compensation. At $55.7 million, operating income increased by 12% from the prior quarter. Operating margin was 3.7%, which was a 40 basis point sequential increase. Other income and expense, at $8.6 million, was consistent with last quarter and down 21% from the fourth quarter last year. The tax rate for the quarter was 15.4% on pretax income, which was in the range we had expected. On a non-GAAP basis, we earned $39.9 million in net income or $0.46 per share. Earnings per share were up 15% from Q3 and equal to Q4 last year. Please turn to Slide 5. We are providing more information on the segments that we report. We have made one change this quarter, which affects both segments. For better consistency, with how we manage or report our segments, we have moved the Optical and RF Module Product and Services business to the Components, Products & Services segment. The Integrated Manufacturing Solutions segment now represents printed circuit board assembly and test, final system assembly and test, as well as direct order fulfillment. As you can see from the graph on the left, the IMS segment revenue was up $5 million, or 0.4%, from last quarter. Our gross margin improved by 30 basis points due to the best mix of business we've had in the last year. The second segment for us is Components, Products & Services. Components include, printed circuit board fabrication, backplane assemblies, cable assemblies, enclosures, precision machining and plastic injection molding. Products include computing and storage products, defense and aerospace products, memory and solid-state drive modules, as well as optical and RF modules. Services include design and engineering, as well as logistics and repair of services. In aggregate, the revenue for this segment was up $12 million, or 3.6%, with gross margin down 90 basis points to 10.9%. This modest gross margin decline reflects lower net profitability in the product areas, largely due to a slower than anticipated ramp of new products. On Page 6, we're showing you some of our key non-GAAP P&L metrics. Revenue was up $16 million from last quarter. Demand was good in the Communications and the Defense, Medical and Industrial segments, which offset weakness in the other market segments. Compared to Q4 last year, total revenue was down 5%. Moving on to gross profit. We achieved a 1.5% increase in gross profit in Q4 while gross margin at 7.8% was the same as last quarter. Our operating profit increased 12% from last quarter to $55.7 million. This led to operating margin of 3.7%. Net interest expense was down slightly at $8.4 million. Now I'd like to turn your attention to the balance sheet on Slide 7. Our cash and cash equivalents were $403 million. Cash was down $13 million from the previous quarter. We used this cash and strong free cash flow to pay off $92 million in short-term debt this quarter. Inventory was down $15 million from Q3 to Q4, accounts payable increased by $57 million, which was partially offset by a $46 million increase in accounts receivable. Property, plant and equipment was down $4 million for the quarter. Please turn to Slide 8, where we will review our balance sheet metrics for the fourth quarter. Cash was down $13 million from Q4. Cash flow from operations for the quarter was very strong at $90 million and net capital expenditures for the quarter were $18 million. This led to $72 million in free cash flow. Inventory reduction and cash generation are an ongoing priority for our team. Inventory dollars were down $15 million from last quarter, at $782 million, while inventory turns improved from 6.9 days to 7.0 days. Compared to Q4 last year, inventory was down $45 million. We are showing cash cycle days, which combines our cycle time for inventory, accounts receivable and accounts payable. Overall, cash cycle time decreased from 48.3 days last quarter to 46.0 days. The biggest driver was our accounts payable days outstanding, which improved by 2.8 days. We also benefited from a decrease in inventory days of 1.1 days. These improvements were partially offset by an increase in accounts receivable days sales outstanding of 1.6 days. We are pleased to see continued progress on our overall cash cycle time. On an annual basis, our cash cycle time improved by 5.9 days. In conclusion, return on invested capital improved to 14.6% for the quarter, which is helped by stable, profitability with better asset utilization. Please turn to Slide 9. I want to take a couple of minutes to reflect on our longer-term cash generation and the impact that it has had on our capital structure. Cash flow from operations for FY '13 was consistent and outstanding. In fact, in the last 3 years, we have generated $768 million in cash flow from operations. This cash generation, along with well-controlled capital spending and significant real estate sales has allowed us to make dramatic progress in reducing long-term debt. In the upper right quadrant, we are showing the decline in long-term debt over the last 4 years. Over the last 4 years, long-term debt is down almost $900 million. In just fiscal year 2013, we reduced our long-term debt by $275 million. In the lower left quadrant, we are showing our net interest expense over the last 5 years. One of the key benefits of the debt reduction is the lower interest expense we now experience. This graph shows the great progress that we've made with fiscal year 2013 net interest expense at $40 million, which is $70 million lower than fiscal year 2009 and $30 million lower than last year. We expect that annual net interest expense will be around $30 million for fiscal year 2014. Obviously, everything else being equal, the lower interest expense enables us to generate significantly more cash than we did just a couple of years ago. In the lower right quadrant, we are showing our gross leverage at the end of each of the last 5 years. We define gross leverage as total debt divided by EBITDA. As a result of the reduction in debt and solid EBITDA over the last 4 years, our gross leverage ratio has improved dramatically. As you can see in the chart, our gross leverage for this period peaked at 8.0 at the end of fiscal year 2009 and stands at 2.0 today. This lower leverage can give us more business and financial flexibility, as opportunities arise. With all the progress that we've made in the last 4 years, the balance sheet is in excellent condition. We expect to continue to generate cash in the coming years and we will be carefully evaluating how to maximize this shareholder benefit of the cash we generate. Please turn to Slide 10. I would now like to share with you our guidance for the first fiscal quarter of fiscal year 2014. Our view is that revenue will be in the range of $1.425 billion to $1.475 billion. We expect that gross margin will be in the range of 7.4% to 7.8%. Operating expense should be $62 million to $64 million. This leads to operating margin in the range of 3.1% to 3.5%. We expect that other income and expense will be in the range of $7 million to $8 million. We expect the tax rate to remain in the range of 15% to 17%. And we expect our fully-diluted share count to be around 88 million shares plus or minus 0.5 million shares. When you consider all this guidance, we believe that you'll end up with earnings per share in the range of $0.35 to $0.41. Finally, for your cash flow modeling, we expect that capital expenditures will be around $25 million, while depreciation and amortization will be around $24 million. We also anticipate real estate sales of around $5 million this quarter. Overall, we are very pleased with this finish to fiscal year 2013. Growth continues to be our #1 challenge but it is imperative that we grow with the right kind of business. At this point, I will turn the discussion back over to Jure for more comments on our target markets and our business strategy.
Jure Sola: Thanks, Bob. Ladies and gentlemen, again, I'd like to add a few more things on the fourth quarter and the fiscal year 2013. I'll review short-term business environment for our first quarter and I'll talk to you a little bit more about outlook for the new year, fiscal year 2014. So let me recap, fourth quarter. As Bob mentioned, I'm pleased with our fourth quarter results. We had a good mix of the business in the fourth quarter. We delivered good, stable margins. And we had a strong cash flow from operations of $90 million and free cash flow of $72 million. Customer relationships are strong and continue to expand. Also, we have been working on some good new opportunities in the quarter. Sales bookings, book-to-bill, continue to be positive for the fourth quarter, mainly driven by our new projects. Now please turn to Slide 12. For fourth quarter 2013 revenue by end-markets, we had one customer that was 10-plus percent of our revenue and we had a tenth of customers that were 51.1% of our revenue. We did forecast Communications Networks to be slightly up. Actually, the results are up 1.5%. Good, stable demand for the quarter, driven by Networking and Wireless. Defense, Industrial, Medical, we did forecast that to be up, that came up 4.6%. Very nice improvements in this segment. All 3 segments were up: Defense; Industrial; and Medical. Computing and Storage, we did forecast it to be flat. That came down, slightly down of 1.1%, driven, basically, by slower growth in the new programs. For Multimedia, we did forecast that to be down for a quarter, that came down 7.9%. Overall, slower growth of new programs in this segment, but we've continuing work to diversify this segment and improve the mix of the business. So let me make a few more comments about fiscal year 2013. As I look back, we accomplished a lot of good things in fiscal year 2013: we continue to drive our focused strategy, we deliver respectable financial results; improved quality of our customer base, improved quality of our revenue for the future; continue to improve our capital structure, as Bob talked about; and now, we have a strong balance sheet to build on. We've position Sanmina for a great future. With our new strategy, all of our businesses are now well aligned and working with our critical customers in the focused markets. So overall, good quarter and a good year. Now please, turn to Slide 13. Now, let's talk about the new year, especially the first quarter. As we look at the first quarter, we expect demand to be seasonally slower and slower ramp-up of the new programs than what we anticipated 3 months ago. Communications Networks, for the first quarter, we're forecasting to be flat. So demand in Communications Networks is stable overall, but in short term, we see some delays in some of the new programs that we have. We see stable long-term demand in this segment, driven by networking and wireless infrastructure, such as 4G projects. Defense, Industrial & Medical, we're also forecasting flat for the quarter. Defense, forecasting stable demand, there could be some potential for upside. Industrial, we are forecasting with some growth, and Medical, we're forecasting to be slightly down. But in total, we believe the opportunities in the pipeline look good in this segment. Computing and Storage, we're also forecasting to be down. Basically, we have a slower growth in the new programs that we're going to continue through the first quarter of our fiscal year 2014, but we should start seeing more growth in this segment for the rest of the calendar year. We're still bullish in this segment, as we continue to work on some good opportunities. For Multimedia, we are forecasting to be down for the quarter. In short term, demand is slightly down, but as I mentioned earlier, we're working and expecting a better mix of business as new customers start to drive the growth. Longer-term, we expect to see better and more sustainable business in this Multimedia segment. Let me talk to you a little bit more about what we expect for the rest of the calendar year 2014. We are cautiously optimistic that the global economy will continue to improve in our calendar year 2014. But we do expect it to be a slow recovery. We are confident about the opportunities that we have in the pipeline, and we expect modest growth in fiscal year 2014, based on our customer inputs, new program wins and overall demand in the key markets. Today, Sanmina is in a great position to compete globally by providing leading technologies and total value solutions to existing and new customers. We are delivering, to our customers, a lot more technology through our Components, Products and Services, as we continue to drive this strategic part of our business. We do expect to continue to improve our financial results for fiscal year 2014. And I can tell you that our strategy is working. We are delivering the right solutions for our customers. Now I'd like to make a few comments about Sanmina's business development strategy. We've been investing, and we'll continue to invest, to drive the growth in fiscal year 2014. We've been revamping business development across all our businesses. We did strengthen our management leadership by hiring Chief Business Officer, Chuck Kostalnick, and this is a new position for our company. Chuck started on September 9, 2013. Sanmina will continue to focus on the quality of growth that is sustainable long-term and allows us to continue to improve our financial results. Again, we do expect to deliver a better financial result in fiscal year 2014. Please turn to Slide 14. So in summary, as Bob mentioned, fourth quarter was a solid result. As we look at our first quarter, we're forecasting modest decline, the result of seasonality and slower than anticipated ramp of our new programs. But for fiscal year 2014, we still remain optimistic that we'll deliver modest growth and further improvements in our financial results. So overall, our strategy drives us to be focused on quality of the growth because, I believe, that's what's going to create the real value for our shareholders long-term. So ladies and gentlemen, now I'd like to thank you for all of your time and support. Operator, we are now ready to open the lines for question and answers. And again, thank you very much.
Operator: [Operator Instructions] And your first question comes from Sean Hannan with Needham.
Sean K.F. Hannan - Needham & Company, LLC, Research Division: First thing I want to see, if I could dive into, is see if we could get a little bit more detail around the delayed programs that you've referenced. Just trying to get a better understanding of the degree that where we actually saw them materialize later within the quarter, or at what point did we actually see some of that, number one? And then, number two, can you get a little bit more detailed in terms of the types of applications or programs?
Jure Sola: Well, Sean, first of all, we saw that, first, let's talk about Communications Networks. A lot of the programs in there are new programs that should drive the growth for fiscal year 2014. Just to ramp up on some of those programs are slower than we anticipated. Especially, also in Computing and Storage, we did expect some of these programs to really be taking off in the last 6 months. We are going through a lot of qualification, a lot of upgrades in those systems. So we expect also nice recovery in that side of the business. We believe the pipeline is very strong. Industrial, Medical, and Defense, I think that market actually grown nicely for us year-over-year. We do expect -- we have a very strong pipeline, especially with the new customers and new projects. So at the same time, we still have a choppy economy. So it's hard to predict exactly what's going to happen on a monthly and quarterly basis. But we have, as I mentioned in my prepared statements, Sean, we are optimistic to making improvements, not just on the financial side, I think we have more confidence because we know what else we can do. Even if the revenue was flat in 2014, we believe we can delivery a better financial result. But we are optimistic that we'll have a modest growth in the fiscal year 2014, based on the programs that I just talked about.
Sean K.F. Hannan - Needham & Company, LLC, Research Division: Okay. And Jure, you just referenced enterprise computing as part of that and just wanted to understand, is that specifically tied to or relevant to some of the Newisys business? Or is that really in other areas of general business?
Jure Sola: Well, I think, -- number one, I think, number one is a CM and the general business, wares, some older programs we have smaller programs that are declining in the segments. Whereas, the new programs are not ramping up as fast. And on top of that, with Newisys, we have some really good programs lined up and we are just waiting for those ramp-up. Good thing is that we won those programs, good thing that the customers tested our product. They wanted to -- it's more about just installation time.
Sean K.F. Hannan - Needham & Company, LLC, Research Division: Okay. And then, I'm going to jump back in the queue, right after this. In terms of these pushouts that we're talking about, this is kind of a -- it's a different expectation versus what we had a few months or quarters ago. You're talking about the modest growth for '14, you gave a few thoughts on why you have that sense that we're optimistic here. Can you elaborate on that a little bit more and should we expect any sequential growth as we progress through the year?
Jure Sola: First of all, I don't -- I wouldn't call these push outs. I would call this more as a ramp, Sean. Definitely, we expect demand to come back and deliver what we are expecting to deliver in 2014. I think, for us, right now, it's more, in the short term, a little bit of timing. At the same time, we are experiencing a little bit of seasonality. Now, as we've been analyzing our numbers for over the last 3 years, for whatever reason, we've seen some of our infrastructure products definitely slow down a little bit in December. We don't, at this time, we don't see major changes. I think that our business -- if you look at our markets and our customers, it's a lot healthier than a year ago. So I would say, we are a lot more optimistic what we think we can do in 2014 than what we were a year ago about 2013. Bob, any comments to that?
Robert K. Eulau: No, I agree, Jure. I think, it's unfortunate but it looks like we are seeing a seasonal pattern now. We've seen that for the last couple of years where the first half is weaker than the second half and, if we look at our long-term customer forecast, that's the way it appears for '14, again.
Operator: Your next question comes from Wamsi Mohan with Bank of America.
Wamsi Mohan - BofA Merrill Lynch, Research Division: Bob, you mentioned reclass of optical and RF modules, but it seems like when I looked back at Q3, Q3 went up $12 million on Components side, but Integrated Manufacturing were down only $2 million. Can you help me reconcile those numbers?
Robert K. Eulau: Yes, there's also some intercompany activity that goes on as we move the optical and RF into the Components, Products and Services segment.
Wamsi Mohan - BofA Merrill Lynch, Research Division: So we should be expecting a higher level?
Jure Sola: Excuse me?
Wamsi Mohan - BofA Merrill Lynch, Research Division: Sorry, go ahead.
Robert K. Eulau: I think I talked while you were asking a question.
Wamsi Mohan - BofA Merrill Lynch, Research Division: Bob, I was just clarifying, so the level of intercompany -- the run up in the quarter, and we should expect that to continue to remain at the higher level?
Robert K. Eulau: Yes. You'll see that -- you'll see the optical, in particular, I mean, those are products that we do and they're vertically integrating at times. So probably see more intercompany activity.
Wamsi Mohan - BofA Merrill Lynch, Research Division: Okay, thanks. And Jure, I was a little surprised that you mentioned that defense business, you're expecting it to be somewhat flat. But wasn't the defense business, did it see any impact at all from the government shutdown? Or you should despite the fact that you saw some impact from the government shutdown?
Jure Sola: Well, first of all, I wish I can blame government for everything. No, actually -- definitely, we feel that there was some impact especially in our IMS side of the business on the government shutdown. But on the product that we are delivering, these are critical products that we delivered to government and there was no major impact on that. There was some delays. We do expect, I think, if you look it from a product's point of view that we deliver to the government. I would probably be confident about those numbers that we have, at least, 1 quarter at a time. There's other opportunity that we have in that group that could be more positive than what we are forecasting right now. But we feel very comfortable for this quarter there. And I would say, we feel very comfortable for year-over-year what we expect in 2014. We got some good opportunities. We'll just see how they shake out.
Operator: Your next question comes from Brian Alexander with Raymond James.
Brian G. Alexander - Raymond James & Associates, Inc., Research Division: Just, I guess first, clarification on the revenue outlook for December. If I understand the comments, industrial and the communication segments will be flat but the decline will come exclusively from Computing and Multimedia. But if I add up those businesses, they're about 20% of your total revenue. So that would imply that those businesses will be down 15% to 20%, sequentially, if the other 80% is flat. Is that the right way to think about the outlook? I'm just trying to understand the segment changes.
Jure Sola: Well, I mean -- yes, you can look at it that way. And it's not that much off. The biggest impact, like I said, is now 2 segments. There's going to be Computing and Storage and Multimedia. And that depends where do you look. If you look at it in a midpoint to high point. Again, at this time, it's hard to -- it's very hard to forecast, Brian, 100%. As I -- as we forecast in Defense, Industrial, and Medical is flat but as I said, I think there's some good opportunities for upside in that side of the business. We are forecasting Industrial to be up. And, hopefully, they will be up. If that's the case, it will offset what we are forecasting in Computing and Multimedia. Multimedia, as I mentioned earlier, as you know, we've been changing that product mix. We've been exiting some set-top box business. In fact, in the last year, actually, we are now 100% out of that business. And we are improving and bringing some other higher technology type of product in the group. So that's looking good for us. It's just the timing.
Brian G. Alexander - Raymond James & Associates, Inc., Research Division: Okay. And just a follow up. The comment about growing revenue in fiscal '14, it would seem like for that to happen, you would need to do better than normal seasonality on a sequential basis after the December quarter. So what quarter do you think that, that could happen where you would grow better than seasonal? And, what gives you the confidence that, that will occur, given that you said demand is a little bit slower and the first half looks no better than seasonal?
Jure Sola: Well, yes, I would say, if I had a crystal ball, and we do use it sometimes. But I would say that we're going to start see some upside, probably March, April time frame. If I look at demand with our customers and some of the new programs, as I said in prepared statements, based on a customer inputs and the forecast that we have right now, comparing that to 6 months ago, new programs wins that we know what are the demand there. In some of these cases, we are single source. An overall demand in the key markets, I think, those are 3 things. But we are pretty confident that we should see a modest growth in 2014 based on what we have in the pipeline.
Operator: Your next question comes from Jim Suva with Citi.
Jim Suva - Citigroup Inc, Research Division: First, looking at big picture, the EPS beat in this quarter. Was it mostly due to -- or can you help me understand what the variance was on the upside to the quarter versus your initial guidance?
Jure Sola: Bob?
Robert K. Eulau: If I go back in time, I think we guided to a midpoint on gross margin of 7.5% for the fourth quarter, and we actually delivered 7.8%. So a lot of that was having a good healthy mix of business. And I think the team executed well, but it was really started with the gross margin.
Jim Suva - Citigroup Inc, Research Division: Great. And then going forward, is that gross margin helping us sustainable or was there anything, I don't know, about some inventory reserves or changes that come back to help you that didn't -- don't go or is this continuing a good healthy mix?
Robert K. Eulau: Well, we're guiding the midpoint down a bit in terms of gross margin. So we're guiding 7.4% to 7.8% for Q1. So at the midpoint, that's down 20 basis points from where we were in the last 2 quarters. We believe that the mix of business can be a little bit tougher and obviously with revenue down, that puts more pressure on our margins because of the fixed costs.
Jim Suva - Citigroup Inc, Research Division: Great. And then on your outlook, when you talk about Communications about some order pushes -- or ramping is a better word, you said, is that more due to funding by government, funding by the OEMs or any political slowdown that are causing this? Or maybe just some context around the ramps of why they're a little bit slower than expected?
Jure Sola: Bob, he's turning the question to you. Jim, like you said, for a good quarter, I think we have taken this one at a time. We delivered better in our fourth quarter than what we thought we're going to do. I think this quarter, have good opportunities out there. Of course, anytime you have a government shutdown, it does affect, pushes things around. But I don't think I'm smart enough to use that as an excuse. I got a lot better excuses I can use. I would look, I think, we accomplished a lot of great things, Jim, in 2013. This company is in a lot, lot better shape than 1 year ago. Not just strong balance sheet now that we can do a lot with. But also, I think what we accomplished with our customers, how well we positioned the new opportunities and what we have a pipeline of good, good projects. We walked away from a fair amount of revenue in 2013 and then, let's say, in even the last 60 days that could give me a lot of revenue and it was ours to walk away from because the margins were not good enough. So we're going to continue to focus on quality of the earnings, I think that's number one. Make sure that it makes financial sense for us, not just for 1 quarter at a time, but longer term. I mean, that's a discipline that my partner is driving very hard and I believe in it. And I think our new management believes in it. So we got a lot of good in front of us. As I said earlier, I think we have opportunities, unless things really fall off the cliff and the whole economy collapses, which we do not control any way. So we can't worry too much about it. But we're going to focus on things that we control. So even if we don't grow, I believe we can deliver a better financial result. But we do expect to grow, especially now with hiring a new -- Chuck is here in the room with me so I was just looking at him as much as -- and now Chuck is going to help us grow. We've been investing a lot in these new accounts, and the new relationships with our customers. So end of the day, we're not going to blame anybody but ourselves. But we are optimistic.
Operator: Your next question comes from Mark Delaney with Goldman Sachs.
Mark Delaney - Goldman Sachs Group Inc., Research Division: I was hoping to follow up a little bit more on some of that comments around the new ramp timing in some of your programs and your expectations of when you may return to above seasonal growth. And it sounded like some things are taking place a little bit later. I was hoping you could help me understand a little bit more on your visibility of the new programs. It still sounds like it's next spring, so maybe 5 months or so away from today and maybe your visibility is no better or is your visibility improving and I'm just understanding the comments wrong?
Jure Sola: Mark, I would say visibility is not that bad. I think for us, it's more some of these programs that we are working on, how fast they're going to ramp-up to what I call meaningful revenue, that's one thing. At the same time, we do definitely believe there's some seasonality in our type of business, especially in the infrastructure type of product, definitely in the communication side of that business. We believe there's some. Again, at the same time, in communication side of the business, we also have some new programs that are ramping up. And to be honest with you, there are some products that we can't get enough components to make the shipment even in this quarter. So all those things add up. So I would say, visibility is fine, except, yes, we want more demand but I think some of those demand will be driven in the future by the ramp-up of these new programs and some of the new programs that we expect to start shipping in the near future.
Mark Delaney - Goldman Sachs Group Inc., Research Division: That's helpful. For my follow-up, I wanted to talk a little bit more on the PCB operations, I know you guys had made a lot of progress improving profitability there. And I think for some of the most recent updates, there is still one of the PCB operations that was losing money. Can you just give us an update where that stands? And then what the outlook is for profitability for the next quarter and fiscal year in the PCB operations?
Jure Sola: Well, Mark, as I mentioned earlier, components, and in this case, printed circuit board is part of our strategy we believe the business we can make a lot better margins. So if you look at -- we have basically 5 factories today around the world. We -- 4 out of 5 are profitable. And as a division, it's making money. The one that is still not delivering the results, I think it's more driven now based on we bringing a lot of new technology in this new plant, leading-edge circuit boards that basically maybe 1 company or 2 companies in the whole world can build the product. So I would -- instead of using the word maybe losing, yes, it's losing. But I would, maybe qualify that we really been investing in about 4, 5 key customers here to get this new technology to the market. I believe as we do that, this factory is going to be profitable. So it's more investment for long term. I think overall, our strategy for circuit boards is really to focus on high-end technology. We are -- we believe we are leader in the high-end, what we call, large boards. It's a lot of layers. We build a product that is over 60 layers. And I said earlier, we're building some products that's maybe only 1 or 2 companies in the whole who can build. So that's kind of where we are focused. So I'm optimistic. We still got a lot of work but I'm optimistic this thing will look positive for us sooner than I expect.
Operator: Your next question comes from Christian Schwab with Craig-Hallum Capital Group.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: Just 2 questions. Can you give us a little bit more added color on who in the industry is more price competitive and is willing to take share at less than industry gross margins? Are those Asian-based or U.S.-based companies?
Jure Sola: Well, Christian, you know me by now, I don't think Bob and I like to comment too much about our competition. I think it's more important in what we're trying to do. What -- my whole point today, if you strictly want to show a lot of growth, you can show the growth. Getting revenue is easy. Getting the quality of revenue that is sustainable. I would have been there. We know it's not the right strategy just to drive the revenue for revenue's sake. We are really looking at diversifying our capabilities, which we started this over 1.5 years ago, 2 years ago now. We invested not just in the components and process technology, which we are spending fair amount of money. But also bringing the products and services. I think each of these businesses will allow Sanmina to deliver the better margins. I know we're not there yet. But our goals are still higher than anybody else in the industry to deliver the margins and we still believe that if we do this thing right that we have a lot, Sanmina has a lot of leverage and to be honest with you, Christian, we are a lot more excited about opportunities we have in front of us than 1 year ago because of being disciplined.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: Great. I appreciate that, Jure. If we kind of look at your modest sequential decline at, call it, 3.5% plus or minus, and then we look at your growth for next year as being modest -- we'll just assume you mean the same percentage with the same word -- what specifically should we be monitoring looking at do you believe that would cause upside to that estimate? And what should we be monitoring, in your opinion, that would put risk to that number?
Jure Sola: Bob?
Robert K. Eulau: Yes. As we look at the second half, one of the things that I'm encouraged by is the diversity of the opportunities that are there. So I think as we go through the year, you'll see us growing in areas outside of Communications. And Medical, Defense and Industrial looks quite good right now. We've got some new wins in both the Storage and in the Multimedia area, particularly in the Gaming. So I think we're going to be a more diverse company coming out of fiscal year '14 than we are today. And I think, as Jure said, we're going to focus on making sure we've got a high-quality set of customers working with.
Operator: Your next question comes from Shawn Harrison with Longbow Research.
Shawn M. Harrison - Longbow Research LLC: Okay. Just I guess 2 questions. The first is as we track through fiscal '14, and particularly looking at the gross margin profile of the 2 businesses, where would you maybe expect the component gross margins to get back to? Could you see some of the peak-est margins again? I know that was somewhat mix-ated this fiscal year, but can you get back to that level of gross margin profitability?
Jure Sola: Well, I mean, I can give you my comment here. And I would definitely expect us to be above the level than we are right now. And if everything lines up, those margins should continue to move in the right direction. Those margins are not where we are expecting. We have some -- if you look at some of our products right now, especially in last quarter, there were a little a few products that were down, they did not deliver the revenue and/or the margin necessary. We believe that our businesses are strong. It's really more of a timing issue. So we do expect the Components, Products and Services to improve from where we are today. And we expect to also to improve our IMS margins than what they are today. So even if the company is flat, we can do better. We know where our issues are. We know that we can get better and believe me, there are still more room for improvement just from a pure operations point of view and we accomplished a lot. We -- our company is well run today. I think we're doing lot of things up in 2013. But the job is not done. So a combination of tuning things up and also the growth that we anticipate in some of these new programs should allow us to improve the margins, Shawn.
Robert K. Eulau: And Shawn, I guess I would just add, our goals are the same as they were last year and I think we've made good progress in fiscal year '13. So we really think we can get the Integrated Manufacturing Solutions to 4% to 5% operating margin. And we think we can get Components, Products and Services up to the 8% to 10% range. And we have some of the areas that are already at that today. So we're more optimistic today than we were 1 year ago and we still think there's plenty of room to improve.
Shawn M. Harrison - Longbow Research LLC: Bob, that comment, that's based upon revenue growth not a flat revenue growth here for Sanmina, is that correct?
Robert K. Eulau: Yes. We'll need some tailwind to really get to the long-term goals. But we can make some progress without that.
Shawn M. Harrison - Longbow Research LLC: Got you. And then just as a follow-up, I know you didn't give CapEx for the quarter, but what is your expectation for the year?
Robert K. Eulau: I don't see a changing a whole lot from what we have the last couple of years. So I think it's sort of in the $75 million to $80 million in the last couple of years.
Operator: Your next question comes from Amit Daryanani from RBC Capital Markets.
Amit Daryanani - RBC Capital Markets, LLC, Research Division: Couple of questions. Maybe first to clarify, and I'm sorry if I missed this, but the component margins -- the gross margins, as you guys have provided, I guess down about 90 basis points. Could you really talk about what drove that too because it looks like sales were up sequentially? And then what is the impact of putting optical and RF back in the -- pushing -- and putting into that segment on a revenue and margin basis?
Robert K. Eulau: Yes. So this is Bob, I'll take that question. So the main reason we saw the margins go down in Components, Products and Services was related to the product area and it was programs that just didn't ramp as much as we had expected. So we took a little bit of a step back there. In terms of the movement of the optical and RF products, we really felt it was a better fit longer-term with the Components Products and Services segment and then, we'll of course be looking to vertically integrate back into the Integrated Manufacturing Solutions.
Amit Daryanani - RBC Capital Markets, LLC, Research Division: And could you quantify what impact that was on the revenue and gross margin line by moving those, I guess, 2 line items into?
Robert K. Eulau: We haven't split that out specifically. And I hesitate to get into that level of detail. But it's -- I think longer term, I know it makes more sense to have it where we got it now.
Amit Daryanani - RBC Capital Markets, LLC, Research Division: Fair enough. And I guess, Jure, I'm just curious, if you could just maybe talk a little bit about the communication segment, was up modestly for you guys in September. Are you looking about flat in December? Maybe, a, could you talk about what is the impact from these program ramp is getting delayed a little bit or getting more muted, what this the impact of that in the December quarter versus the flat guide you have? And maybe can we talk about what you're seeing within the communication side and across the wire line and wireless side. That will be helpful to understand as well.
Jure Sola: Yes. Well, first of all, I mean, we -- when we got to the quarter, we probably expected to see a few a more dollars from the new programs in September quarter. And then, we expect it to shift a little bit more in December quarter. And,, like I said, the ramp is delayed and we expect it to be stable. I think our Communication segment, if I look at the next rest of the year, we're very, very optimistic. I think we're well-positioned. And most importantly, we are all in good programs, the programs that's going to grow in 2004 (sic) [2014] and even 2015 and beyond, is what we see today. What was your last -- second question, Amit, I forgot -- last -- second?
Amit Daryanani - RBC Capital Markets, LLC, Research Division: Yes. I was wondering if you could just maybe quantify the impact from these program pushouts, I mean, would you guide them to be in [indiscernible] about it?
Jure Sola: We guided up to -- where we guided at 14.75 to 15.50 and so would have been in guidance if high end of the guidance.
Robert K. Eulau: That's 8.25.
Jure Sola: Yes, yes.
Amit Daryanani - RBC Capital Markets, LLC, Research Division: And just finally from my side, you guys have obviously done a really good job on the cash generation and put up, paying off a lot of the debt. As you go forward through fiscal '14, have you guys found, think about the acquisitions, and if so what other product areas or the end market area that you guys are going to focus on from an M&A side given the fact that the balance sheet is in a much better shape than it's been in the last several years now?
Jure Sola: Well, first of all, balance sheet I think is in a great shape. So it's nice, not just better. We can do a lot with our balance sheet today that 2 years ago we couldn't do anything. Okay, today, we have a great balance sheet that Sanmina can last for next 100 years if we just don't do anything stupid, number one. Number two, what we are going to do is really we believe we have a strong base, Amit, our projects and our customers that we believe we can grow. We are going to look at something strategically could make business sense to help us to create a better customer base, a business that is more sustainable and more profitable, then we're going to look at the projects like that. But we're not going to do anything crazy.
Operator: Your final question will come from Osten Bernardez with Cross Research.
Osten Bernardez - Cross Research LLC: So with respect to moving the RF and optical business over to the CPS side, I just wanted to know, when you first presented this to -- this segment representation to us, we were told that RF and Optical were part of that, the IMS business, due to the way the business was ran. Has there been a change in the way the business is run? And why is there no -- or rather, does this change your long-term margin outlook for either IMS and CPS and if not, why not?
Jure Sola: Okay. Actually, those are 2 excellent question, by the way, Osten. And let me explain to you now in a very simple way. Optical, we have, what we call optical assembly, what we call Integrated Manufacturing Services, or IMS. We have an Optical but that business is still part of the IMS business, okay? What we pulled out is strictly customed modules that we design and build. So it's a separate engineering team, separate product line that we believe, we can grow it, and we are putting a lot more focus to become a product division. So we taking that apart from our standard IMS, putting more focus around it. Most of this business today, as Bob mentioned early, we shipped internally. But these are very critical modules that give Sanmina big competitive advantage when we work on optical products. So still majority of optical revenue that we had stays in IMS is because it's an IMS, it's an assembly. This is mainly optical RF microelectronics modules that we are separating because we believe we have a, if we focused on it, we have a great opportunity to drive this growth in this project.
Robert K. Eulau: Yes, I agree. And it turns out, this business has moved forward pretty well during fiscal year '13. We now have about 15 different customers who are doing engineering services for on the optical side and doing some custom design work for them. So we just felt like now is the time and we think it'll continue to grow as we move forward.
Osten Bernardez - Cross Research LLC: That's very helpful. And then, secondly for me, in the past conversations I've had with both of you with respect to revenue growth, it's -- I've been given the impression that there's been a change in how you've obviously segmented the business and how you manage the business and a focus on acquiring quality customers. And what I want to understand is how -- what do you see differently from a sales perspective now with the addition of Chuck? How do we believe that growth -- that there will be tangible growth especially considering that some of the -- some of your end markets, for good or for bad, do have longer sales cycles than others?
Jure Sola: Yes. First of all, Osten, again, excellent question. For the last couple of years, we really reviewed the whole Sanmina growth strategy and what we want to be when we grow up. I called this is a second startup with this $6 billion company. But even at the $6 billion revenue, we felt we should be making a lot more money. And that was the whole focus, is to focus on our profitability, cash flow, diversify the customer base and make sure that we take care of good customers that are going to be around forever. And then replace the ones that are just -- there's no future to really build what I call strong company on. And that's what we did. I think today, now Chuck is coming in, as I said, he's in this office. He's got an easy job. Look, the company is in a good position because we accomplished a lot doing that in the last year, especially diversifying and positioning each of our business so they can compete in their focus field. We're going to continue to do that. As I mentioned earlier, getting revenue is easy, getting profitable revenue, revenues going to be around for the next 5, 10 years. It's the revenue where you can build a strong partnership with the customer and allows you to make a little bit of the money based on what we bring to the table. So Sanmina's focus today is we're going to be involved in the projects where it's more complicated, areas where we can bring a lot more solutions to the customer, has got to be some stickiness. They need us just as that as we need them. And then see not just what we're going to do in the next 90 days with this customer or next 12 months, what we can do with this customer 3, 5 years down the line. So that's what we are going to focus. Yes, you're right, some of these projects take a little bit longer, especially if you're getting to the industrial, defense and some of these other markets that I'm not even ready to talk about on this call. It takes long time. I -- we'll be talking about some new things -- the past 3 years to be involved. But these are good opportunities. We also been investing more into these unique technologies and products that is not really helping us today on a much when it comes to profitability. But I believe, they allowed us to book the business for the future, a business that's going to allow us to deliver the better numbers for many quarters to come. So that's the area, Osten, that we are focused on. Chuck is not going to come here and push the button and get everything perfect in Day 1. But I thought it was important to, for our investors, to understand we are investing in that area. We are revamping how we go to market. And we're trying, to hopefully, show to our customers what we -- that we're going to bring a lot more solution and bringing that solution we'll be able to make a little bit more money. So that's really the strategy in a simple description that I can put it for you in 30 seconds. Well, ladies and gentlemen, again, that's all for today. If you have any more questions, please give us a call. Looking forward to hearing from you. If not, we'll be hearing from -- talking to each other 90 days from now.
Robert K. Eulau: Okay. Thanks, everyone. Have a nice evening.
Jure Sola: Bye-bye.
Operator: This concludes today's conference call. You may now disconnect.